Operator: Good morning, ladies and gentlemen, and thank you for standing by. My name is Kelvin and I will be your conference operator today. At this time, I would like to welcome everyone to the Nordson Corporation First Quarter Fiscal Year 2025 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I would now like to turn the call over to Lara Mahoney. Please go ahead.
Lara Mahoney: Thank you. Good morning. This is Lara Mahoney, Vice President of Investor Relations and Corporate Communications. I'm here with Sundaram Nagarajan, our President and CEO; and Dan Hopgood, Executive Vice President and Chief Financial Officer. We welcome you to our conference call today, Thursday, February 20, to report Nordson's fiscal 2025 first quarter results. You can find both our press release as well as our webcast slide presentation that we will refer to during today's call on our website at www.nordson.com/investors. This conference call is being broadcast live on our investor website and will be available there for 30 days. There will be a telephone replay of the conference call available until Thursday, February 27, 2025. During this conference call, we will make references to non-GAAP financial metrics. We provided a reconciliation of these metrics to the most comparable GAAP metric in the press release issued yesterday. Before we begin, please refer to Slide 2 of our presentation, where we note that certain statements regarding our future performance that are made during this call may be forward-looking based upon Nordson's current expectations. These statements may involve a number of risks, uncertainties and other factors as discussed in the company's filings with the Securities and Exchange Commission that could cause actual results to materially differ. I also want to take a moment to highlight that effective November 1, 2024, which is the beginning of our fiscal year, the Measurement & Control Solutions division formally reported as part of the Industrial Precision Solutions segment has been realigned to the Advanced Technology Solutions segment based on a reassessment of our portfolio. Our segment reporting reflects this change and prior year financial information has been revised to be comparable. Please refer to the appendix in our earnings press release for comparative segment data by quarter for fiscal 2024. Now moving to today's agenda on Slide 3, Naga will discuss first quarter highlights. He will then turn the call over to Dan to review sales and earnings performance for the total company and the three business segments. Dan will also discuss the balance sheet and cash flow. Naga will then share a high-level commentary about our enterprise performance and provide an update on the fiscal 2025 second quarter guidance. We will then be happy to take your questions. With that, I'll turn the call over to Naga.
Sundaram Nagarajan: Good morning, everyone. Thank you for joining Nordson's fiscal 2025 First Quarter Conference Call. We're starting the year with the sales of $615 million, which is at the low end of our guidance range due to soft demand in key end markets particularly electronics and industrial and foreign exchange headwinds that were slightly worse than expectations. This more than offset the solid performance of our Atrion acquisition as well as organic growth within our consumer non-durable product lines. Positively, order entry rates accelerated throughout the quarter, growing double digits above the prior year order entry run rate. You can see this growth in our backlog, which increased sequentially from fiscal year-end by approximately $85 million, ending at approximately $670 million as we exit the first quarter. The improvement in order entry rates and backlog is particularly encouraging to see in our electronics businesses. Our continued focus on top customers and products, coupled with leveraging NBS Next to drive factory efficiencies and manage costs led to another strong quarter of operational performance. The team delivered 56% gross margin, 26% operating profit margin, 31% EBITDA margin and converted free cash flow at nearly 150% of net income. We achieved adjusted earnings per share of $2.06, slightly above the midpoint of our guidance despite weaker sales. As the growth compounder, we remain steadfast with our balanced capital deployment strategy, repurchasing approximately $60 million in shares during the quarter. In addition, we paid $45 million in dividends and decreased our net leverage ratio to 2.4x exceeding the first quarter comfortably within our targeted range. Our consistently strong operating performance quarter-over-quarter positions us well to capitalize profitably on growth as demand improves throughout fiscal 2025. I'll speak more about the enterprise performance in a few moments. But first, I'll turn the call over to Dan to provide detailed perspective on our financial results for the quarter.
Daniel Hopgood: Thank you, Naga, and good morning to everyone. On Slide #5, you'll see a summary of our overall operating company results. First quarter 2025 sales were $615 million, down 3% from the prior year first quarter sales of $633 million. This was driven by an 8% increase from the Atrion acquisition, offset by an overall organic sales decrease of 9% and unfavorable currency translation of about 2%. Demand was choppy to start the year, and we experienced headwinds in several end markets as we exited the calendar year, particularly in selected systems and medical businesses. Coupled with a 2% FX headwind, this drove sales at the bottom end of our guidance range. As Naga mentioned, we were encouraged to see order entry rates accelerate throughout the quarter, which is reflected in our backlog growth since the start of the quarter. In addition, organic growth in packaging, nonwovens, optical sensors and measurement and controls businesses helped soften the revenue decline. Gross profit remained strong in the first quarter at 56% of sales and EBITDA adjusted for special items in both periods totaled $188 million or 31% of sales. While overall EBITDA was down 4% from the prior year, driven by lower sales volume, EBITDA margins were flat year-over-year, inclusive of the newly acquired Atrion business. Looking at nonoperating expenses. Net interest expense was $26 million, an increase of $5 million versus the prior year driven by higher debt levels tied to the Atrion acquisition. This was partially offset by a $2 million improvement in other income and expense, primarily reflecting foreign exchange transactional variations compared to the prior year. Tax expense for the quarter was $22 million or an effective tax rate of 19%. This is in line with our guidance range for fiscal year 2025 and 200 basis points lower than the prior year. Net income in the quarter totaled $95 million or $1.65 per share. Excluding $10 million of nonrecurring costs related to the Atrion acquisition and selected restructuring actions as well as $19 million in amortization of acquisition-related intangibles, adjusted earnings per share totaled $2.06 per share, slightly above the midpoint of our quarterly guidance, but a 7% decrease from the prior year adjusted earnings per share of $2.21. The decrease in year-over-year earnings reflects the impact of lower organic sales volume and higher acquisition-related interest expense I referenced just a moment ago. Now let's turn to Slide 6 through 8 to review the first quarter 2025 segment performance. Starting with Industrial Precision Solutions. They had sales of $300 million, a decrease of 11% compared to the prior year first quarter, down 8% organically and 3% due to unfavorable currency impacts. Weaker system sales in our industrial coatings and polymer processing product lines were partially offset by growth in packaging and nonwovens product lines. Both our industrial coatings and polymer product lines are coming off a strong system delivery years in 2024. And you may also recall that we're in the midst of transitioning selected industrial coating manufacturing to our new South Carolina plant, which should be substantially completed in the second fiscal quarter. EBITDA for the segment was $113 million in the quarter or 38% of sales. This is a decrease of 10% compared to the prior year EBITDA of $126 million, driven by lower sales volumes in the quarter. EBITDA margin improved 1% despite lower sales year-over-year due to a higher mix of parts and consumables versus the prior year. Turning to Slide 7. You'll see Medical and Fluid Solutions sales of $194 million, increased 21% compared to the prior year's first quarter. Growth was driven by the acquired Atrion business, which delivered $53 million in revenue during the quarter. This was offset by double-digit declines in our medical interventional product lines where destocking trends continue to impact demand and we completed some strategic program rationalization to reposition the business for profitable growth. It's important to note that these destocking trends began in our second quarter of fiscal 2024, impacting the year-over-year decline on a comparative basis. We expect our interventional product lines to return to sequential growth heading into the second quarter of this year. EBITDA for Medical and Fluid Solutions was $64 million or 33% of sales, which was an 8% increase from prior year EBITDA of $60 million. The increase was driven by higher sales from the Atrion acquisition. EBITDA margins were down 400 basis points, reflecting the lower contribution from Atrion. But as a reminder, we expect our EBITDA margins to improve sequentially for the Atrion business as we continue to integrate and implement NBS Next to improve manufacturing efficiencies and overall profitability. Importantly, Atrion's first quarter performance was actually well ahead of our initial targets for this business. Turning to Slide 8. You'll see Advanced Technology Solutions sales were $121 million, an 11% decrease compared to the prior year first quarter. The decrease included a 10% organic volume decline as well as an unfavorable currency translation of 1%. The decrease in sales was driven by double-digit declines in electronics processing and x-ray product lines, partially offset by growth in our optical sensors and measurement and control businesses. Despite weaker Q1 performance, we continue to see improvement in order intake as the semiconductor and electronic applications we serve continue to show signs of improvement. Orders were up double digits in the quarter versus the prior year, and backlog grew double digits sequentially from the end of the year for this segment. In short, we continue to see encouraging signs in ATS for the balance of 2025 despite a slow start to the year. First quarter EBITDA was $23 million for the segment or 19% of sales, in line with the prior year first quarter EBITDA of $23 million or 17% of sales. The improvement in EBITDA margin was driven by continued emphasis on cost management and improved manufacturing efficiencies. The margin enhancements we've implemented position the ATS segment well as demand continues to improve. Finally, let's turn to the balance sheet and cash flows on Slide 9. At the end of the first quarter, we had cash on hand of $130 million, and net debt was $2.1 billion, resulting in a leverage ratio of 2.4x based on trailing 12-months EBITDA. This is a slight improvement from year-end and within our long-term target leverage range of 2 to 2.5x. Our free cash flow generation continues to be a compounding strength at $138 million during the quarter, resulting in a 146% conversion rate on net income. And we continue to strategically deploy the strong cash flow. During the quarter, we repurchased approximately $60 million in shares in addition to our quarterly dividend of $45 million, which, as a reminder, we increased by 15% at the end of last year. We also reduced net debt by $20 million during the quarter, while continuing to invest in our base businesses, spending $21 million on capital investments during the quarter. All in all, we had a solid operational quarter despite a slower sales start, and we're well positioned to capitalize on profitable growth as demand normalizes in selected key end markets. With that, let's turn to Slide 10, and I'll turn the call back to Naga.
Sundaram Nagarajan: Thanks, Dan. I also want to thank the Nordson team for delivering strong operating performance in a challenging demand environment. While first quarter was a slow start to the year from a revenue perspective, I'm encouraged by our ability to deliver best-in-class profitability in varying market scenarios while remaining invested in our best growth opportunities. Among our bright spots is the ongoing integration of the Atrion acquisition. During the quarter, I had the opportunity to visit our 3 new Atrion manufacturing sites. I'm excited about the strong product portfolio that we acquired as well as the energetic colleagues for quickly embracing and starting to deploy the NBS Next growth framework. We're also seeing growing acceptance of Atrion's newest-generation Myocardial Protection System, which is used during open heart procedures. Positive market acceptance is accelerating sales for this product, including an attractive opportunity to recapitalize its installed base. Also during the quarter, several of our product lines were celebrated with notable industry achievements. Nordson's SpinSAM Acoustic Inspection system won three awards for its industry-leading wafer inspection throughput and best-in-class image quality, defect capture and footprint. Our QuadraPro manual X-ray System received the Productronica Innovation Award for its exceptional image clarity and defect detection capabilities within back-end semiconductor and SMT applications. And our precision agriculture division's new Orion Pro product was recognized for technical innovation at the EIMA 2024 International Agriculture Machinery Exhibition. The Orion Pro is an integrated system for regulating and measuring the actual amount of product sprayed by liquid fertilizer distribution systems. Two notable electronics customers also recognized our market leader collaboration. In December, we received supplier awards, both from TSMC and Jabil, recognizing our product performance and support of critical underfill applications as well as our dedicated responsive and talented local Nordson teams. We remain committed to product innovation, tracking strong vitality metrics in our packaging assembly and nonwovens product lines. This is reflected in the strong performance of those product lines in the quarter. We also have new products currently being launched in our medical fluid components and polymer processing product lines. In all cases, these new products are designed to solve the unique needs of our customers. Regardless of dynamic environment, Nordson remains steadfast in our commitment to innovation through differentiated products, our customer intimate sales model and protecting the diversified niche end markets we operate. These competitive advantages secure our position as a high-quality growth compounder even in challenging macro environments. Our division-led organization provides our teams with a clear view of our end markets, and they know where we need to focus and where we're doing well. We will continue to manage costs in weaker sales environment while balancing investments that support the increasing order entry trends that we experienced throughout the quarter. Turning now to our outlook on Slide 11. We are entering the second quarter of fiscal 2025 with approximately $670 million in backlog and order entry that continued to improve throughout the quarter across all 3 segments. Based on these factors, as well as current foreign exchange rates and end market expectations, we anticipate delivering second quarter sales in the range of $650 million to $690 million and adjusted earnings in the range of $2.30 to $2.50 per diluted share. At this point in time, we're not updating our full year guidance range, although we would now expect our sales for the year to be on the lower end of our full year expectations given the slower start to the year and brought geopolitical macro environment dynamics. As always, I want to thank our customers, shareholders and the Nordson team for your continued support. With that, we will pause and take your questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Your first question comes from the line of Matt Summerville of D.A. Davidson. Please go ahead.
Matt Summerville: Thanks. A couple of questions. Help me understand a little bit more about what played out in your electronics-related business in the quarter? I guess I was under the impression that you had seen order inflection supporting a returned and sustained sort of pathway to organic growth in that business. So help me understand kind of how the quarter played out and then how incoming orders inform the go-forward view on semi/electronics? And then I have a follow-up.
Sundaram Nagarajan: Thanks, Matt. The miss of our ATS business really was largely timing of orders, particularly in our x-ray and electronic processing product lines. In short, we expect that more of our backlog to ship in the quarter -- at the beginning of the quarter is what happened. But that said, order entry throughout the quarter progressed very positively, and we expect that sales or shipments of ATS to continue to be strong through the year. And in this segment, order entry is up double digit, backlog is up double digit, probably the strongest we have seen in this part of cycle.
Matt Summerville: And then as a follow-up, just getting over to the interventional side of your medical-related business, [indiscernible] anniversary that destock, you mentioned you expect to see quarter-on-quarter growth. When do we start to see year-on-year growth more aligned to the long-term trajectory you lay out for that business?
Daniel Hopgood: Yes. I think the inflection of that as we said, the destocking really started in earnest in the second quarter of last year. And so from a year-over-year comp, I think we'll continue to see tough comps through the first half of the year, and then we would see that inflection point starting in really Q3 and heading into Q4.
Operator: Your next question comes from the line of Andrew Buscaglia of BNP Paribas. Please go ahead.
Andrew Buscaglia: Good morning guys.
Sundaram Nagarajan: Good morning.
Daniel Hopgood: Good morning.
Andrew Buscaglia: In the ATS segment, if you were to exclude that, the movement of that Measurement & Control Solutions, what would organic growth have been? And then what's the rationale behind moving that out of IPS and into ATS?
Sundaram Nagarajan: Yes. Let me take that question first. Look, there is a significant overlap in customers for MCS with the IPS customers. But if you look at it from a product perspective and the technology perspective, it is more a test and measurement kind of division. And so it belongs better with our further analysis, we have decided to have that in the ATS business. And you have -- you can -- you answer the part of that without and with.
Daniel Hopgood: Yes. And if you -- it's not -- to be honest, it's not a huge impact. Certainly, organically, they were a positive contributor to the segment. But when you look at the materiality of the MCS business versus the total segment, it's not a big needle mover on the overall growth or organic impact to your year-on-year. Certainly, MCS grew year-over-year and it mitigated a little bit of the decline that we saw in some of the electronics processing and x-ray that we mentioned, but it's not a big needle mover either so I would say.
Andrew Buscaglia: Okay. Yes. And a slower start to the year than you expected and you're trending towards the low end of that guidance range for the top line for the full year. Are there things you're working on to still achieve at least the midpoint of EPS, whether it's further restructuring or some sort of margin enhancement?
Daniel Hopgood: Yes, it's a great question. Let me take that one. And look, I would say, as we think about the full year and the reason we're not changing our guidance range is, it's frankly a little soon to call exactly how the year is going to play out. We're in a very dynamic environment depending on the headlines you read changing day-to-day. What I would say is, just based on the soft start to the year, we see our sales toward the lower end of our range. But as we've demonstrated in Q1, we're still quite confident that we can deliver on our earnings commitments even with sales towards the lower end of that range. So for those reasons, we're not going to tighten things up. I think as we get into -- as we finish out the second quarter and we reassessed where our backlogs and order rates, which, as Naga mentioned, have been quite strong, we'll reassess what that looks like for the full year and tighten things up. What I would say is we're comfortable in our sales range and pretty comfortable with our earnings commitments despite the slow start to the sales year, and that's really demonstrated in our first quarter profit delivery.
Sundaram Nagarajan: Let me maybe add to that. If you think -- if you zoom up and say, look, let me look at it broadly and think about the market and where the company is at and what we're thinking about for the full year. I would tell you on the positive side, order entry is up in all three segments, backlog building in all three segments, ATS being a significant contributor to the backlog increases. Operational performance is strong in a weak environment like Dan mentioned, we had a very strong operating income performance, very well positioned to grow. Third thing I would tell you is our innovations in many of our businesses are starting to deliver on growth. If you think about our adhesive business, our Harmony applicator that is in the market is contributing nicely to our growth. If you think about SpinSAM and new emission, it is not contributing to growth yet, but it positions us really well to continue to grow. If you look in the medical side in our fluid components business, a new product line called PharmaLok starting to launch. So innovation, operational performance, order entry, all 3 positives for the outlook that we're thinking about. Clearly, one negative is this environment we live in. If you don't -- if you ignore the environment and we look at our order entry and backlog, you'd be very confident. And -- but one negative is there is a broader choppiness in geopolitical as well as macroeconomic environment. So hopefully, that helps you.
Andrew Buscaglia: Okay, thank you.
Operator: Your next question comes from the line of Jeff Hammond of KeyBanc Capital Markets. Please go ahead.
Jeffrey Hammond: Great, good morning.
Sundaram Nagarajan: Good morning.
Jeffrey Hammond: So just real quick on the guide. It sounds like you think right now, lower end of the sales guide, but you're still kind of closer to the midpoint. One, is that correct? And two, what are kind of the drivers that are kind of offsetting the weaker sales?
Daniel Hopgood: Yes. So I appreciate the question, Mike. And I think that's the right way to think about it. And I would say the best indicator is look at our performance for the first quarter. We were at the very low end of our sales guidance and still delivered the midpoint or slightly above the midpoint of our earnings guidance. That's not a fluke. We think that's replicatable in the balance of the year. Again, the sales outlook, I think it's too soon to call. Typically, I'll remind you guys, we typically see a much stronger second half in general. If you look at our history across the company in a market where we see accelerating orders, that trend could be even exacerbated. And so it's a bit of a wait and see and continue to monitor how demand continues to play out for the year. Indicators today are very good. If that continues, we'll see how the second half plays out. But what I would say in general is even if we don't see any continued acceleration, we're comfortable with our sales on the lower end that we can still deliver on our profit commitments by simply managing our operations and our cost structure to ensure that we can deliver on those commitments.
Sundaram Nagarajan: Maybe add a little bit color to it, if you take segment by segment, right? So if you think about ATS, we've got this business positioned from a cost perspective through the last down cycle. And if you look at the decremental performance of this segment in the first quarter, it is very strong. I mean they had a tough organic revenue growth, but they're decremental -- they were pretty much flat in terms of dollar income they generated when compared to last year, right? So from an ATS perspective a nice performance. And if you think about decrementals for IPS, again, a very strong performance. This is a solid business. This is a business where we have implemented NBS Next and has delivered great. So if you think about those two, we're in very good shape. And if you look at MFS, if you look at MFS, with the Atrion together, there is a mix issue, and you could think that our operating performance -- our operating margin performance was not that good. But I would remind you that you have Atrion, which is at a lower margin when compared to our core MFS businesses. And if you account for that, our core MFS business is, again, had strong decremental performance. So that is the confidence we have as we think about it. And in businesses where we have weaker sales, we are taking action to reduce cost. It is not broad-based. It's not across all of our businesses, but in places where our sales is weak, we are adjusting costs. So that's maybe adding a little bit more color to what Dan is telling you that what our expectations are.
Jeffrey Hammond: No, that's very helpful. I wanted to follow up on that medical margin dynamic. Can you give us a sense of how much of the margin dilution was just Atrion coming in and what the decrementals were on the base? Because -- and then how it looks from a dilution perspective as we go forward? And then just on the medical destocking, I mean, I understand that the comps get easier, but just any update on kind of where we're at in that process? Is it still the view that, that carries through the first half and then abates?
Daniel Hopgood: Yes. So a simple way to think of it, I would say our core medical business were basically in line with what we would expect year-end. The majority of the overall -- I'm speaking to EBITDA margins, majority overall EBITDA is tied to -- the growth in MFS came from Atrion, which is a lower EBITDA margin from our base business. I would say, to Naga's point, our decrementals in our base business are right in line with what we expect. And Atrion on top of that, adding $53 million, let's say, mid-20s EBITDA. That's the majority of the dilution that margin year-over-year.
Sundaram Nagarajan: Let me -- I'm not sure -- at least the line was cutting out a little bit. Let me make sure we -- I repeat what some of what Dan mentioned here. Let's start with our core MFS business. Clearly, our core MFS business EBITDA margins are better than Atrion. Atrion margins are sort of in the mid-20s, and we certainly have a very good line of sight for that business to continue to improve and get to our valuation model expectations around high-20s to low-30s, right? So that is -- that pathway is there. So long term, Atrion continues to improve and continues to add to MFS, right? In terms of MFS core decremental, the core decrementals were in line with what we have for the company. So there is -- for us, the MFS performance was mainly due to mix issues with Atrion contributing while core business is organically being down.
Jeffrey Hammond: And then just the destocking.
Sundaram Nagarajan: Yes. From the destocking perspective, if you remember, destocking started some time last year, there are two things going on here, and this is probably something that we have not talked about. You have -- we were organically down 11% in MFS and half of that is from destocking, but half of it is also, for the first time, you're seeing a reset in our strategic repositioning of some programs that we have in our finished devices. And so that restocking is -- that repositioning of programs is substantially complete. And so you will start to see from second quarter a sequential growth in that and destocking should abate sometime in third to fourth quarter. And we are starting to see order rates. So I think what is important to know is that order rates in our medical interventional component business are picking up. Our order rates in our medical fluid components have been very strong. So this is the business that had undergone a lot of destocking from a biopharma and surgical perspective, that is coming back very nicely. And we're beginning to see sequential improvement on MIS.
Daniel Hopgood: Yes, I think that's an important point, Naga. Our medical business is contributing to both the order growth and the backlog growth. As I said, all three of our segments are -- and so we're -- we see very good line of sight to sequential improvement. The year-over-year comp will be tough until the second half.
Jeffrey Hammond: Okay, thank you.
Operator: Your next question comes from the line of Mike Halloran, Baird. Please go ahead.
Michael Halloran: Hey, good morning everyone.
Sundaram Nagarajan: Good morning.
Michael Halloran: Not to overly harp on the guide. I just want to make sure I understand what's embedded on the revenue side of things. Obviously, the first quarter, as you said, was a little lower expectations, FX a little worse. Is that a majority of the move for the revenue to be at the low end? And maybe I suppose, what is the assumption then for end market recovery curves, normal seasonality, backlog conversion that's embedded in that lower assumption? Is it pretty normal sequentials from here, pretty normal backlog outlay? Any kind of color around those things would be super helpful.
Daniel Hopgood: Yes. No, I appreciate the question. So I'll start with a couple of things. As you look at our backlog, I can't say 100% because there's some one-offs in there, but the vast majority of our backlog will ship in 2025. These aren't -- we're not taking multiyear orders. We're not -- this isn't a replay of COVID where we're taking three orders three years out. This is -- these are current year deliveries. And so I think as you look at ongoing book-to-bill and/or backlog, I think that's the way to think about it is that these are normal recurring orders that we're taking and not any type of long-term preorders like we've had coming out of COVID in some of our businesses. As I think about the full-year, again, if you just play out the first quarter miss or the first quarter shortfall of sales. I mean that's naturally if you flow that through for the year, going to put us towards the lower end of our sales guidance, we are expecting some level of recovery in the second half. That is supported by, number one, I would say, our normal cyclical -- cyclicality of the business. We typically have a stronger second half to begin with, but it's also supported by the acceleration that we're seeing in order intake throughout the first quarter, and frankly, even into the early days of the second quarter. And so I think if you think about that outlook, I'll maybe talk about what underlies our revenue assumptions for the year. If you think of the low end of our guidance, that basically says we're going to see low single-digit growth for the year in ATS. We're going to see basically flattish to slightly down sales within our IPS and our medical business, and then we're going to see the contribution come through from the Atrion acquisition. If you think of the higher end of our guidance, that anticipates, I would say, a more accelerated -- more historical recovery in our ATS segment which we're not banking on. So let's call that a bigger ramp in ATS as well as recovery in some of the capital investment cycles in industrial and a bigger rebound from the destocking in medical. So we're not counting on these significant recoveries. That doesn't mean it couldn't happen. And so as we look at it today, we're simply following it based on what we see today. And that would say the first quarter miss is going to kind of flow through. But the rest of the year seems to be playing out in line.
Michael Halloran: All right. Super helpful there. And then just kind of a question on once that recovery happens in these markets? I know earlier Naga was talking about the positive decremental margin performance, particularly in the ATS side? And I suppose as well on the MFS side. What does the torque look like to the upside? Obviously, the IPS are already really healthy levels, I know aided by mix, but still really strong levels. What kind of torque would you expect to see in those margins or incremental margins as the volume recovers and normalizes to a more historically normal pattern?
Daniel Hopgood: So let me make sure I understand your question. You're asking from an incremental margin performance, what we would expect going forward. Is that the question?
Michael Halloran: Correct.
Daniel Hopgood: Yes. I think our -- my best guidance to that would be in line with what we've said historically, which is look, overall, we've said about a 35% incremental mix between acquisition and organic. And as you think about that, obviously, the organic growth comes with a higher incremental acquisition, as we talked about with Atrion's margin comes with a lower incremental. So I would think of that blended rate of 35% is still a good long-term planning target. Obviously, the organic above that, the inorganic below that, but the 35% mix is kind of a good blended range to use still.
Michael Halloran: Appreciate it. Thank you.
Daniel Hopgood: Yes.
Operator: Next question comes from the line of Saree Boroditsky of Jefferies. Please go ahead.
Saree Boroditsky: Thanks for taking the questions. So maybe building on the last question, as we think specifically on ATS, that business has seen margins decrease substantially over the last few years. So how should we think about incrementals in this segment once demand inflects? And what would it take to get back to that 23% plus margins you saw in 2022? Or is that sort of a one-time event? Thanks.
Sundaram Nagarajan: Yes. In general, we expect that as the sales recovers, we get back to where the margins are we were in 2022. There may be some upside, but it is. Remember, this is a business where our R&D investments are critical to our growth. And so you're always going to see this business have higher R&D investments. But as the sales recover, I have every confidence that we get back to the margins we were at in 2022.
Saree Boroditsky: That's helpful. And maybe just on the weaker growth in IPS. How much of this is related to underlying demand versus the challenging comparables that you had from the strong incoming backlog from last year?
Sundaram Nagarajan: I think the IPS -- let me -- I'll give you a broader view and then Dan can help you with a little bit more detail. On IPS, the biggest comparable issues are in our system businesses. Our two large system businesses of PPS and ICS, but we had shipments from prior huge backlogs. But if you think about our consumer non-durable business, our adhesive business, they are growing nicely in line with our expectations already.
Daniel Hopgood: Yes. And I think maybe just to add some additional color on the industrial coatings and polymer businesses. To your point, if you go back to last year, large backlogs -- large multiyear backlogs that we were working on, that has normalized. And so from a year-over-year comparability standpoint, that does create some tough comps this year. But importantly, when we talk about orders strengthening and backlog growth, we are seeing it in those businesses as well. And so we see a clear path to that starting to rebuild and inflect. And I think you'll see that play out in the form of sequential growth in those businesses going forward, but we'll have this year-over-year comparability to work through because of the large system backlog that we had coming out of the last couple of years.
Saree Boroditsky: Appreciate the color.
Sundaram Nagarajan: One -- sorry, Saree. One additional point to make here is we're also beginning to see modest sequential improvement in our ARAG business. And I know the general ARAG agriculture market is still down, but we are beginning to see some modest improvement in order entry and backlog in that business.
Saree Boroditsky: Thank you.
Operator: [Operator Instructions]. Your next question comes from the line of Chris Dankert of Loop Capital Markets. Please go ahead.
Chris Dankert: Hey, good morning guys.
Daniel Hopgood: Good morning.
Sundaram Nagarajan: Good morning.
Chris Dankert: Maybe just a conceptual question. I guess if we go back to the medical segment, Atrion has been doing really well on an organic basis. Is there anything to learn from Atrion's operations in terms of -- they didn't seem to get destocked the same way that legacy interventional did. I mean, is there a difference in customer set? Is there a difference in how they stock? Maybe just conceptually, what's -- how do we think about that?
Sundaram Nagarajan: Yes. I think it's a great question, Chris. In terms -- there are two things going on, which you need to recognize. Atrion serves the fluid components and Atrion has two parts to it. One is the consumable component part, another is the system part. So in their system, this is the Myocardial Protection System that they're launching, their new generation product, which is the third generation and that market acceptance, as I mentioned in my comments, is going really well. So you have the benefit of a new product launch and a recap of existing business -- existing systems, which is different and has got no resemblance to our MIS business, right, our medical interventional business. That's one. On the component side of the business, which is their Halkey Roberts business, in that business, they went through destocking long before we started seeing it in our medical interventional business. So there is a timing difference there. And then the third thing I would tell you is our fluid component business resembles more the Atrion component business than our medical interventional business, right? So there are different products, different end markets. We are seeing the same patterns we are seeing in Halkey Roberts -- in Atrion's component business as we are seeing in our medical fluid component business, right? Hopefully, that helps you.
Chris Dankert: That's extremely helpful. Thank you, Naga.
Sundaram Nagarajan: Sure.
Chris Dankert: And then maybe just to circle back, I mean, back in October -- and I could be interpreting this wrong, but you sounded fairly optimistic about just the deals that were out there from an acquisition perspective, what was kind of coming across your desk. I guess, would you echo that same level of optimism today?
Sundaram Nagarajan: Yes. We continue to be active. We continue to look at deals. But we're going to be pretty strategically and financially disciplined. And so we continue to work the pipeline. Our pipeline continues to build. Number of inbound may be lesser, but we still have a pretty good pipeline. So what you read in the papers around inbound is lesser, but the activity level continues to be pretty good for us. But we're going to be thoughtful in what we choose to do.
Chris Dankert: Make sense. Thanks for the color.
Sundaram Nagarajan: Yep.
Operator: Your next question comes from the line of Walter Liptak of Seaport Global. Please go ahead.
Walter Liptak: Hi, good morning guys.
Sundaram Nagarajan: Good morning.
Daniel Hopgood: Good morning.
Walter Liptak: I wanted to ask -- go back to the 2025 guidance and sales questions again. And just -- I think, Dan, when you were going through, you gave some good kind of delineation around the segments. And so just to repeat it back, so if I heard him right, you're thinking that MFS could be mid- to high end of the revenue guide, ATS at the low end and IPS at the low end? Is it -- is that kind of what you guys are thinking on a segment basis?
Daniel Hopgood: No. So what I was referring to is if you think of the upper and lower bounds of our guidance, what I would say is if you think of the lower end of our guide, that would say our IPS or the industrial businesses are down low single-digits for the year, and MFS is down low single digits or near flat year-over-year, excluding Atrion, right, set aside Atrion. And then the low end of our guidance would contemplate what I would say, a very modest recovery in ATS. So think of those ATS being up low single-digits. That's kind of our -- that's our low-end thinking, right? Converse that with the upper end of our guidance would be a more traditional ramp in ATS of higher growth, again, which we're not counting on, but happened. And it would also contemplate a faster recovery from some of the destocking that we're seeing in the medical business. So I think low single-digit growth in medical as well as the general recovery in the industrial markets. And so I would say the upper end is more stronger recovery in ATS, low single-digit growth in other -- in medical and industrial versus the low end of our guidance would say there's very little recovery in medical, very little recovery in industrial and just modest recovery in ATS, if that helps with some color.
Walter Liptak: Okay. Yes, I appreciate that. That's very helpful. And just kind of drilling into the Industrial Precision part of it a little bit. The -- happy to hear that ARAG that there's a potential plus there. I wonder if you could go into maybe a little bit more detail about is it a new product? Is it Europe? Is it rest of world where you're seeing some green shoots? And then maybe talk about some of those other sectors beyond polymers and coatings, like Naga, I know you know the auto sector very well, what's going on there, what's happening with others. Thanks.
Daniel Hopgood: So great question. Maybe I'll start and let Naga add some comments. I'll start with you responding maybe to the ARAG question. So as Naga mentioned, so, A, on the product side, we are continuing to evolve and bring new products to market. In fact, I think we mentioned one that we received some awards for recently. More generally, as far as demand in that business, we've certainly seen that business stabilize. We're seeing good, what I'll say, ongoing recovery in order rates. We would expect that business to return to year-over-year growth in the second quarter as they're continuing to show strength in order rates. I will tell you, really Q1, I think we've mentioned this before, Q1 is really the last tough comparison for them. If you recall, last year at this time or in the first quarter, they were working off a large backlog. And so that first quarter last year was kind of the last tough comp for them. We've seen that business stabilize, I would say, even going back to Q4, we're now starting to move back into this growth mode as the -- we're past the year-over-year comparisons or tough comparisons. So good stability, good ongoing demand improvement and a good path to returning to growth in that business in the next quarter.
Sundaram Nagarajan: So let me follow-up with that. One other additional data point on ARAG is that during last year, this business performed really well on the margin side as well. And partly, that was because they took care -- they used the short workweek program that is available in Italy for industrial businesses. Now what is interesting is that in the first quarter, given their order dynamics, they have brought back their workforce completely. So essentially getting ready and being able to make products so that they can start to -- start to make -- meet the commitments they've made with their customers. So that is kind of another data point that gives us confidence that our ARAG business will start to turn -- return to growth. So now let's take the broader industrial businesses, and we've already talked about our plastic business, we've talked about our ICS business. Interestingly, even in both those businesses, we have two new product introductions. On the ICS side, we have a new manual powder coating product that has been launched, which is doing really well. And you also have a Prodigi die that is in the plastics business that is getting very good market acceptance. So we have some new products, but it's very difficult to overcome the system declines that they have. But interesting comments to sort of share with you. In terms of our other adhesive businesses, our nonwovens business is doing extremely well. We have new products there. We have a Harmony applicator that I mentioned that is doing very well adding to the work that they're doing on parts growth. That is also doing well. Their system business through product tiering as has been very successful for them. So that business, after a couple of years of down years, it is coming back nicely. Our packaging business, adhesive packaging business is holding its own, and they have some pretty exciting new products that they're working on that we expect towards the end of the year that we'll be in market with. So pretty good movement across our industrial businesses. One thing to note, and I'm not sure how it came across in our conversations, our parts mix in the adhesive businesses are pretty strong, and they've done well, and they have mitigated some of the system weaknesses. But having said all of that, the order entry is up in this segment. It is up in plastics. It is up in ICS and it's also up in our businesses that have grown in the quarter. So hopefully, that gives you a little bit more data points.
Walter Liptak: Okay. Yes, thanks for that detail. Appreciate it.
Operator: There are no further questions at this time. And with that, I will now turn the call back over to Naga for final closing remarks. Please go ahead.
Sundaram Nagarajan: Thank you for your time and attention on today's call. Have a great day.
Operator: Ladies and gentlemen, that concludes your conference call. We thank you for participating and ask that you please disconnect your lines.